Santiago Donato: Good afternoon, everyone. I'm Santiago Donato, Investor Relations Officer of Cresud, and I welcome you to the second quarter of fiscal year 2022 results conference call. First of all, I would like to remind you that both audio and a slide show may be accessed through company's Investor Relations website at www.cresud.com.ar by clicking on the banner webcast link. The following presentation and the earnings release are also available for download on the company website. [Operator Instructions]. Before we begin, I would like to remind you that this call is being recorded, and the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, CEO. Please go ahead, sir.
Alejandro Elsztain: Good afternoon, everybody. We are beginning our second quarter 2022, and we can directly go to Page #2, where we can see the main highlights of the 6 first months. We are living in some special conditions related to climate, that it's mainly affecting prices. We have a big plantation on the year -- in the whole region, but the region is being affected on the rain mainly, some areas with little more rain and some with less rain.  But from the other side, we are seeing much better margins than last year because of the increasing prices of the commodities, having higher costs of production, too, but margins are improving a lot.  If we speak about the first 6 months about the real estate activity, we had a lot of liquidity in Brazil, 2 sales in 2 farms that I'm going to explain a little later, very profitable in the Brazilian market.  Related to whole agribusiness segment, we can see that this semester was beautiful related to grains, sugarcane and farm sales. So we are achieving record numbers in related to EBITDA of the agribusiness segment comparing to the past, comparing to the last 30 years, this year, having big size in many areas of the region, we are achieving very good results and almost close to net zero negative numbers.  We have no more the packing plant that gave us some losses. So this year, all of the industry is bringing gains. When we see the net gain of the quarter, this is mainly explained because of the 2 sides. One is the agriculture that I was explaining, and I will do much more deeper later. And from the other side, it is the investments in IRSA, mainly related to the revaluation of Costa Urbana that was approved in the end of last year 2021.  We have the lack -- of after more than 20 years of presentation, we received that approval to the game, that development in this piece of land close to our office here in the middle of Buenos Aires City. And in the Urban segment, there was a very big important new, too, instead of only Cresud owning IRSA that own IRSA Commercial Properties, in December, too, so a good month for us, we received the approvement of that merge between IRSA and IRSA Commercial Properties. And Cresud, after that merge, reduced its stake from 62% to close to 54% of the shares.  We can now move to next page, the Page #3. And in here, we can see the current structure after the merge. And we can see the lines of business of Cresud. In the left, our farms in Argentina own and lease cattle and all the working capital for that business at 100%.  We have 39.4% of BrasilAgro shares, BrasilAgro that runs farms in Brazil, Bolivia and Paraguay. We have 50.1% of FyO. Those 2 companies, FyO and Agrofy, our agricultural service. FyO, a broker of inputs and outputs, giving services to the farmers in the real world, a company that Cresud owns 50% and is achieving very good results. I will show you a little later. A company that is becoming one relevant -- the biggest, the more important broker of Argentina by far. And now launching its chapter in Brazil, too.  And in the other side, Agrofy, our marketplace in agriculture, very global company, and I will explain a little later, too. And in the right, we see what happened after the merge. IRSA where control of Cresud is 53.7% to be precise. And in IRSA, having rental properties and development, plus Banco Hipotecario, with IRSA runs 30% of the shares.  We can move to next page, Page #4, on the evolution of our size. Cresud was preparing its company to have a good size. With this 0.25 million hectares of planted area, we -- in the four countries, still Argentina being the largest, but that probably will change next year. Brazil is growing a lot for next campaign, too.  We are planting the four countries, 119,000, 109,000, 14,000 and 14,000 hectares in each of the countries, still having soybeans as the more relevant, 44%; second, 27% the corn. But sugarcane, the 10% of this size is a lot of sugarcane, one of the bigger farmers doing sugarcane not having Usinas. Majority of the big planters of sugarcane are owners of factories but we are one of species that without those factories, we are big plantations of sugarcane, mainly a majority in Brazil, but growing. Now we are deciding to grow and expanding our sugarcane in Bolivia, too, using the expertise that BrasilAgro has.  If we move to next page, Page #5, we can see the evolution on the soybeans and corn in the relation of the stock consumption and how tight was still that rush of stock consumption, prices were beginning to decrease thinking that South America was recovering in production, mainly explained by Brazil, Argentina, Paraguay and Bolivia, but climate conditions made that to disappear, like 20 million, 30 million tons, depending the source. But a lot of soybeans and corn disappear because of droughts mainly in south of Brazil and corn belt of Argentina.  Our areas of plantations are not exactly those. And today, it's very early to forecast where is our situation. But for sure, it's not the damage that the corn belt and south of Brazil is damaging. Remember where our areas in Brazil and in Argentina, we have a lot of the plantation in the North in Salta, in the west of Buenos Aires and South of Cordoba. With this region, when we can see the map, is in a very good condition.  So we think that in next quarter will be easier to forecast where we are, but we are not thinking the damage is affecting to the region, the same to Cresud and BrasilAgro together. And that effect in the yields of this year, waiting for the new campaign in the United States is affecting the rebound on the prices.  So today, Cresud and BrasilAgro are receiving part of that benefit in the crop that we are going to harvest between March to June or September, the late corn that we are going to harvest.  If we move to next page, in Page #6, we can see the 2 things that were closed in this quarter and were reflected in the balance sheet in the gains, our 2 farms. The first one is a portion, really is a portion, it's less than half, is the third of the farm that we swap for shares. You remember [indiscernible] was not paid by cash, was swapped by shares. But less than 2 years later, we were selling a small portion for more than the price we paid for the whole.  And with a lot of gains, more than 40% internal rate of return in dollars and a lot of gains like close to BRL 60 million after just receiving the farm. And in the case of Alto Taquari that it's a farm that we bought a long time ago. But the total farm -- close to total farm because it is bigger than this, we are not selling 100%, we divided in 2 sales.  One that is 1,500 hectares productive that we are selling now and 1,100 hectares that we are selling in the 2024 balance sheet. So we are only reflecting the gain of the part in the left, the October 21, the 1,500 hectares that we sold.  The total farm we bought, we paid BRL 31 million. But the combination of these 2 sales is the nominal value for more than BRL 550 million, shows the evolution of prices of farms that we had. This is in Mato Grosso, in a region of Mato Grosso, where we are planting sugarcane and rice.  So we bought for BRL 10,000, and we are selling for close to BRL 200,000 per hectare nominal. This is the kind of gain that we are doing in the buying and selling in Brazil. The second part, the second portion, the gain will be reflected in the future balances.  If we move to next page, Page #7, and to show why we are beginning to talk about FyO. FyO began like 20 years ago and was using our expertise of having the size of Cresud and why not to help other farmers to improve their margins, began very shy.  But today is the largest broker of the country by far, more than 2 million tons of the second, so by far, the largest broker of the country. It's finished the last year at 6.4 million tons, forecasting 7 million tons for next campaign. Making EBT, the last campaign, we closed close to $15 million.  This is a company that we launched from 0 and began like a marketplace too early, but finally went to a broker, broker of inputs out to service consultancy, and this is the gain the company is doing having close to 300 employees, 75 from them are in technology.  So this is the, by far, digital broker of the country. And now we hired the CEO in Brazil. This 2022, we are launching our development of this, the service for cranes in Brazil, too. And now, it puts in fertilizers and other things is becoming global, too, not only in Argentina, but going in Bolivia, Chile, Paraguay. So it's developing the rest of the region, too.  So FyO, it's becoming a big service company to the farmers. These today numbers is doing with close to 500 farmers of big companies like YPF or other big oil companies of the country, doing their brokerage rates for them. So this company is really becoming very relevant. And to give you a flavor of this company that never we spoke a lot, but this year, we went to the market.  We issued our first bond and the bond was launched for $12.3 million. First issuance of the bond of the company at the interest rate the company is paying for a 2 years bond is 0 interest. Imagine what is the likeness of the -- what the market likes, the story of FyO not having -- close to 0 debt.  We can move now to the last of our investments, Agrofy. Agrofy, that is our marketplace e-commerce of the South American region. The other competitors come from the North hemisphere. From the South hemisphere this is the player, Agrofy. These days in December, too, closed around a new round of capital, including the current shareholders and new investors that brought 35% of the new funds.  We raised $29 million more. And with that, the company evaluation post-market, post-capital is more than $100 million. Cresud today runs close to 18%. And this company is in that regional growth, improving the platform transactionality and giving some fintech solutions.  If you can see them up where we are, Mexico will be 2023. But the others, we are there. And this company is competing for that position being the marketplace of the Americas. And we receive investments like Yara, [indiscernible] and other companies from United States and Brazil. So a lot of foreigners invested in Agrofy where we have 2 Board members on there, too, not having the control, but this company is competing in that arena.  Having said that, I will invite now Matias to speak about IRSA, our CFO. Please, Matias.
Matias Gaivironsky: Thank you, Alejandro, and good afternoon, everybody. So if we see in Page 9, we have 2 major events during December last year that are significant drivers for the future growth of the company.  The first one is the approval of Costa Urbana after 20 years of dealing with the approvals of the project. Finally, the City Congress of the Buenos Aires approved the project. Basically IRSA agreed with the city to donate around 2/3 of the project to the city to develop public spaces will be the second largest park of Buenos Aires will be in this land.  And in exchange of that, IRSA will have the rights to develop up to almost 900,000 square meters of different uses, residential, commercial, et cetera. So this is a significant news for IRSA and probably the growth of the company for the next 10 years will be derived by this project.  The other important event during the semester was the merge between IRCP and IRSA. The shareholders of the 2 companies approved during December the merge. So now the march is effective since July 1, 2021. And the company started to present consolidated or only one balance sheet since December this year.  As a result of the merger, Cresud stake in IRSA will reduce from 62.3% to 53.7%. On the operational side, we can see in the shopping malls important news regarding real sales. The real sales increase against inflation for first time during the last, I would say, 3 years, that the real sales increased by 7.6% during the quarter.  So the shoppings after the -- this is comparing with pre-pandemic levels. So remember that last year was affected by the pandemic. This 7.6% is before the COVID situation. So we are very happy to see the improvement of shopping malls after the restrictions and COVID are now no significant. So the shoppings are running on a normal situation.  We still have room to grow in the case of traffic and some in occupancy, but we are happy to see the recovery. In the office buildings, we have a mixed results from -- on one hand, we see a decrease in occupancy and the stock slightly decreased. Here, we did like a flight to quality where we sold some floors or buildings last year and replaced with the new building in Catalina, so in the Salta building a couple of years ago. So the performance is a little below against last year because of the pandemic and some offices and some companies that decided to reduce the spaces or move to other places. And also the occupancy when we compare is related to the disposals that we did last year because the offices that we sold were fully occupied.  And then we opened the Della Paolera with some vacancy. And so that is the effect on the decrease in the vacancy. Also, we sold some floors during the semester, in the Della Paolera building, sold for $41.2 million, so IRSA is reducing debt with all these disposals.  In the hotels are still affected by the pandemic, basically in the city of Buenos Aires with the restrictions on tourism that is still in place until November last year. So the 2 hotels were affected. In the case of the [indiscernible] hotels where the operation was very good.  So if we move to the Page 12, the P&L of this semester. We can see a significant gain. We are closing the semester with ARS 38 billion gain compared with a loss of ARS 4.9 billion last year. We have different -- sorry, we have different drivers.  The first one is in Line 6, the change in the fair value, that we see a gain of ARS 22.9 billion against a gain last year of 13.6 billion. This year is related to the revaluation of Costa Urbana. After the approval, we reevaluated the land and generated a significant gain.  The other important effect is in the line 13, the net financial results that generated a gain of ARS 8.3 billion. And finally, the other important effect is in the Line 16, the net income from discontinuing operations that include consolidation in last year of Israel in the case of IRSA that generated a loss of ARS 10.1 billion.  So if we move to Page 13, we can see some of these numbers on the operational side in the adjusted EBITDA for the agribusiness, we see great results that generated a gain of ARS 12.1 billion against a gain of ARS 2.4 billion last year. So we can see in all the lines that we have a better -- an improvement against last year. In the case of farm on sales, as Alejandro mentioned, we sold 2 farms in Brazil that generated a great gain.  In the case of the farming, we have also much better results compared with the previous year. Then when we do the breakdown between grains, sugarcane, cattle and agricultural services, we can see that the grains improving significant compared with the previous year. This is related to our hedge policy.  Last year, remember that the prices increased significantly during the first semester, and we closed or we hedged part of the production. And in that month, that semester generated losses. But then when we finally harvest, we see the positive results here. We only saw the negative results. In the case of sugarcane, is also the improvement in prices of sugar generated -- and ethanol and oil generated very good results of 4.8 compared with 2.4 last year.  And cattle, we see a drop. This is related to prices evolution in Argentina that we have to adjust by inflation and the prices increased less than the inflation. For that reason, we have the loss.  And in Line 7, in Others, we can see the evolution of the results of basically FyO this year that are generated -- are generating very good results. In the case of the Urban segment, shopping malls compared with last year, we see a significant improvement. But last year was almost closed the operation or very affected by the pandemic.  So when we compare with the pre-pandemic levels, we are still 22% below 2019 or 2020. In the offices, we see a drop of 30% in pesos. In dollars, this number is flat. But in pesos, since the valuation was much lower than the inflation, we have this effect of 30% decrease. And on top of that, there was less square meters under production this year. And finally, the sales and development, we see the results of this year, there is ARS 1.5 billion against ARS 10.8 billion last year.  Last year, we sold more floors or more buildings than this year at IRSA level. If we move to Page 14, the net financial results, we see the gain of ARS 8.3 billion against a loss of ARS 1.4 billion. It's basically all related to the net exchange differences in Line 2. The valuation in Argentina during the semester was only 7% against an inflation of 20%. So when we see results in pesos term, we are recognizing this gain in the next exchange differences.  So finally, on Page 15. Here, we see the evolution of our debt. We reduced the debt during the last quarter to $400 million with a debt amortization scale that is automized between the next 3 years. We are working and we launched on Friday, a new one that we expect to close on Wednesday. The idea is to extend part of the debt, the tenure, 2- or 3-year tenure debt to 2025. So we are issuing a dollar-linked note with 3 years bullet maturity. So we expect to close this on Wednesday. So with this, we finished the formal presentation. Now we open the line to receive your questions.
A - Santiago Donato: [Operator Instructions]. We have the first questions. If you think you are going to keep selling farms both in Argentina, Brazil or the rest of the region?
Alejandro Elsztain: Yes. We are expecting a lot of movement. Argentina is beginning to have some people visiting farms, that are interested in buying some farms. This is probably something that is coming back. Not something so firm, but in Brazil, for sure, liquidity is there.  The campaign is going to be very positive for the 2 countries, for the whole region. The ones that harvest, they're going to have very good margins. And farmers in general are trying to buy more mainly in Brazil because of tax benefits. But this is going to still be happening and we are waiting for the second semester to be active in the real estate, too.  And in the farming activity, really, in the area that you have yield, normal yield, a little less than normal yield with the existing prices of the market, margins are beautiful and farmers are really spending good time. And this is -- up to now, up to December, we are not showing a majority of the gain of soybean and corn that it's going to come in the second and third quarter, and this is going to come.  Really situation of farmers of the region is really very positive. So we expect a lot of activity because of that good environment and our -- we are happy of having the size that we have in this year of very good margins in the whole 4 countries.
Santiago Donato: Next question is, how are you affected on your issued bonds regarding the Central Bank capital restrictions?
Matias Gaivironsky: So what you know that the rule is that issuance in [indiscernible] dollars, the central banks only allow companies to pay up to 40% and ask the companies to refinance the rest. In the case of Cresud, we have the next bond that is affected, expire in February 2023.  So for this year, we don't have any kind of travel to pay all the debt that expire. So we don't have to enter in any refinancing during this year. In the case of IRSA, it's the same. The ones that are affected will expire. It's the international bond that IRSA has, that expire in March 2023. So for this year, we don't have any complication for the payments.
Santiago Donato: There is here another question. Why are you canceling the notes that are under technical value? Sorry, why is the -- the question was why it is reducing the value of the notes in Cresud?
Alejandro Elsztain: If I understood well the question, why is the trading value of this bond, I really don't know the secondary market, I don't know if it's affected by liquidity or what are the drivers on the secondary markets. So I don't know if I understood well the question.
Santiago Donato: In that case, you can call me, Fernando, if you have further questions regarding that -- regarding the notes, you can contact me directly. Here, there is another question related to timing on Costa Urbana development project.
Alejandro Elsztain: Yes. We just had the conference call of IRSA a couple of hours ago and is recorded in our website in IRSA. So you can hear the whole presentation there. I just will add on top of that, that the development process will take time. It's a big project, it's 70 hectares. So it's really a very important project. To give you an idea of size, it's 1/3 of the total size of Puerto Madero. So you won't develop that in 1 year, it will take time.  Probably it will take more than 10 years to fully develop the project. So we will start -- now we were very focused in getting the approval that happened in December. So our team is working hard defining next steps. But probably, you won't see any major CapEx in the next 2 years in that project.
Santiago Donato: If there are no more questions, we conclude the Q&A session. I will now turn back to Alejandro Elsztain, CEO, for his closing remarks.
Alejandro Elsztain: Just to be sharing with you happiness of the first 6 months, good numbers in all of the lines, in each of the segments, having the cash and the resources for expanding the businesses. Waiting for the second to harvest the rest of corn, soybean, rest of harvests. And happy because of the merge in the case of IRSA, too, and the approvals.  So we expect to keep the company growing as it was growing. And thank you everyone and every investor to be sharing with us the history of Cresud. So thank you very much, and have a very good day.